Sebastian Frericks: Yes. Good morning, ladies and gentlemen. Thanks for joining our call today. My name is Sebastian, and I’m the Head of the Investor Relations team. With me, as usual, are our President and CEO, Dr. Ludwin Monz; and our CFO, Justus Wehmer. I would like to hand over to our management now to give you an introduction to our six months financials. And afterwards, we look forward to taking your questions.
Ludwin Monz: Yes. Good morning, ladies and gentlemen. This is Ludwin Monz speaking. I also would like to welcome you to Carl Zeiss Meditec’s analyst conference on the six months results of our fiscal year 2021. On Slide 2, you can find the agenda of this call. I will start with providing an overview about our H1 results. And afterwards, my colleague, Justus Wehmer, who is the CFO of Carl Zeiss Meditec, he will discuss the financials more in detail. The third section of the presentation, I will share an update on the development of the IOL market as we feel that this is a good indicator for the progress of the pandemic. And finally, I will discuss our outlook for the rest of the fiscal year and beyond. As usual, we are happy to take your questions in the subsequent question-and-answer session. So let’s turn to Slide number 3. The Carl Zeiss Meditec six-month performance was really very strong and surpassed our own expectations, which we had in the beginning of the year. Revenues reached €767 million. This is a significant increase compared to prior year despite of negative currency effects and the still existing impact of the pandemic. At constant currency, revenue would have been at €790 million. Constant currency growth rate was 10.5%. The strong development was especially driven by Asian markets, but also EMEA and Americas contributed with some growth. As Justus will discuss in a minute, and as we already saw in the first quarter, the performance of our two SBUs was significantly different. Although MCS did improve, it was still trailing behind our prior year. In contrast, OPT generated strong growth. It’s interesting to note that the OPT growth was mainly driven by procedure business. While at the height of the crisis, elective surgical procedures were postponed. In many countries, we see a recovery of procedure numbers in certain markets in Asia but also in Germany. Equipment business is further behind, but we are seeing an improvement as well, particularly in order intake. Yes, Justus will discuss the dynamics a bit more in detail later in the presentation. Before we go there, let me comment on the EBIT. Our EBIT margin increased from 14.3% in prior year to 21.2% in this year. This outstanding development is due to the strong sales performance as explained before, but also due to positive product and regional mix effects, and of course, a significantly reduced cost base, which we still have. Our net income reached about €102 million, which corresponds to earnings per share of €1.12. Last year, at this point, we were at €0.71. Okay. So much about the overview. I now hand over to Justus.
Justus Wehmer: Yes. Thank you very much, Ludwin. Good morning, and a warm welcome also from my side. And I’m now going to give you a more detailed overview of the financials, starting with the performance of our strategic business unit, Ophthalmic Devices. Revenue came in for OPT with roughly €590 million compared to prior year, a reported increase of 14% and constant currency even at 17.2%, and as Ludwin already highlighted, mainly also due to our product portfolio in this division. But please keep in mind that all comparisons to previous year have limited validity only given that February and March financials of last year already reflected pandemic effects. But all numbers we present to you today clearly indicates that we have returned to our long-term dynamic growth path. Especially in our Surgical business, we see a significant contribution with very strong procedures, led once again by our Refractive Laser surgery business. But we have also signs – seen signs of recovery in the device business with order intake improving and growth for the quarter in equipment, both versus the 2020 and 2019 comparable levels. OPT EBIT margin increased very significantly compared to last year due to the sales development with a positive mix situation, and as Ludwin mentioned, meaningful reductions in our OpEx especially in our discretionary expenses in sales and marketing. Let’s move to MCS. MCS, our Microsurgery division, delivered improving performance given the weak start into the year. Revenue, however, with €177 million versus previous year €197 million, represented still a decrease of around 10% or at constant currency, 7%. The second quarter, though, was significantly stronger than the beginning of the year and we did see substantial growth in the month of March, not only against 2020, but also against the 2019 level. And this performance has continued into April. Order intake was stronger than revenue throughout the quarter and creates a positive outlook for the remainder of the year as well. EBIT margin is still very strong, supported by overall cost awareness in our organization. On the next slide, we see our global sales development which shows clear structural shifts as a consequence of the pandemic and its different impact patterns. Americas had revenues of €197 million, which is a decrease of minus 4.1%, but at constant currency, actually representing a slight growth of 3%. U.S. only was 3% down. But again, currency corrected, actually grew by 5%. And with that, of course, that means that the currency effects heavily impacted our business. Otherwise, however, we clearly see evidence of recovery. And with more states reopening after the states – or country-wide lockdowns, we are also pretty optimistic for Q3 and Q4. Latin Americas, however, saw a decrease, especially in Brazil and Mexico. In Europe, sales came – or EMEA, I should say, sales came in at €217 million. Overall, a slight increase as reported of 3.8% and at constant currency at 5.4%. Due to the local lockdowns and heterogeneous development, major economies still returned to partially very solid growth rates like France, UK and Spain, all in high double-digit growth rates, but also Germany with a solid mid-single-digit positive growth rate. But overall, for the remainder of EMEA, the picture is still pretty patchy. Asia Pacific in opposite showed sales of €354 million. That’s plus 17.6% as reported, and at constant currency, even slightly above 19%. China, including Hong Kong, showed again outstanding numbers with 51% growth. But please keep in mind that prior year’s Q2 was already heavily impacted by the outburst of the corona crisis in China. We also saw strong revenue growth in Korea and Southeast Asia. However, Japan is still somewhat trailing behind. And India, and I think as you all can see from the media releases, it’s in a still quite disastrous situation. Yes. With that, let’s go to the P&L. You can see an increased gross margin with roughly 57% and that is supported by favorable regional and product mix effects, as we mentioned before, especially the consumable business contributed in not only the laser vision correction treatment packs but also the IOLs. We have seen significant OpEx reduction, particularly sales and marketing expenses decreased significantly. As we reported before, travel, entertainment, advertising expenses and trade show-related costs were due to the corona restriction, basically globally on very low levels. However, with countries slowly but steadily returning to normality, we assume that there will be upside pressure on expenses in the next couple of months. R&D expenses growing in absolute figures as we previously guided to you. We continued to invest in our innovation pipeline. And as disclosed in Q1 already, there’s a minor onetime effect of €2.4 million out of the sale of an office building here in Jena and this transaction is to be seen in relation to the construction of the new ZEISS campus here in Jena. EBIT reached a level of €163 million, well above prior year number. And the corresponding EBIT margin was 21.2%, exceeded significantly the 14.3% of last year. On the next slide, a really brief look at the adjusted EBIT margin, which is a tick higher with 21.4%, rather small effects from purchase price allocations and we adjusted also for the onetime effects related to the asset sales. Then let’s move finally to the cash flow statement. Operating cash flow was strong with €153 million versus prior year’s €41 million and significantly driven by the positive EBIT and also a favorable working capital development. In our working capital, we saw a significant increase in accounts receivables due to the strong sales development per end of Q2. On the other hand, inventories overall decreased and trade payables related to increased production volumes went up. Cash flow from investing activities was mainly influenced by payments in plant, property and equipment. Please remind yourself again that we are just ramping up our China production for IOLs. And yes, finally, our cash flow from financing activities was mainly influenced by changes in receivables and payables in our treasury accounts. Yes. And with that, I hand over to Ludwin again.
Ludwin Monz: Thank you, Justus, for the discussion of the financials. As I pointed out in my introduction, our performance in OPT is very much driven by the procedure business currently. As in the two previous calls, I would like to discuss the development of the global IOL market as an indicator for the status of the crisis now. So let’s please turn to Slide 12. The graph shows the IOL market volume quarter-by-quarter relative to the number a year ago. And as you know, this is public numbers reported by a market research company. As you can see, until end of 2019, the IOL volume was growing continuously. And then in the first quarter of calendar year 2020, the pandemic started and there was some decline already. The drop reached its maximum in the second quarter of calendar year 2020 when the market volume of IOLs collapsed by almost 60%. However, we saw a recovery until end of 2020. For some reason, there was a slight slippage of the market in the first quarter of 2021. Again, we do not see this effect in our own numbers, however, which were relatively steady in that quarter, so the first quarter of 2021. This might be some impact of COVID-19 on certain high volume but low revenue markets like, for example, India, or Latin America. But again, we don’t know and do not see that in our numbers. We are seeing two interesting trends that generally bode well for the future. First, we saw an acceleration of our multifocal IOL business in last year. Premium IOL customers are typically private clinics, which might have recovered more quickly. And secondly, we are beginning to see a recovery of procedures that had been delayed or postponed last year predominantly in some Asian markets. We expect this to further accelerate with the success of the vaccination campaigns in the developed world. It is, however, difficult to quantify the pent-up demand for IOLs. If we simply add the lost IOL revenue during the pandemic, we end up with a low- to mid-double-digit million euro number. However, we cannot predict how long it will take to recover that amount. Yes. To wrap it up, let me now turn to the outlook on Slide number 14. Let me first of all say that we are confident that the worst of the COVID-19 crisis is already behind us and that the recovery will continue. As we showed in our presentation, surgical procedure volumes are recovering fast, but the equipment business will need some more time to reach precrisis levels. It’s very encouraging, though, that the majority of our equipment business returned to growth in the month of March and also April not only against 2020 but also against the more normal year, 2019. As discussed in our previous conference calls, we believe that the long-term trends of our business are fully intact. No change here. Let me once again emphasize the importance of digitalization in ophthalmology. COVID-19 has even accelerated this development. We are working hard on the improvement of our digital offering and we are investing significantly in R&D in this area. In fiscal year 2021, we are now targeting a revenue of about €1.6 billion and an EBIT margin of approximately 20%. We are glad to note that our business has recovered significantly quicker than we expected. Keep in mind, though, that margins are unusually high as the level of our sales and marketing cost is still very low due to travel restrictions and canceled trade shows. Going forward, the cost level will, for sure, normalize. Furthermore, we are planning significant product launches in the end of this and the beginning of next fiscal year. Therefore, we believe that our previous midterm guidance of an EBIT margin sustainably above 18% is a realistic forecast for the next fiscal year and beyond. As we are slowly leaving the COVID-19 crisis behind us, I would like to use this opportunity to thank our employees for their dedication, our customers for their loyalty, and of course, I would like to thank you as our partners and investors for the trust and the support during these really challenging times. Thus, ladies and gentlemen, this concludes our presentation and we are now looking forward to your questions. I hand back to the moderator to explain the procedure for the question-and-answer session.
Operator: [Operator Instructions] The first question is by Scott Bardo of Berenberg. Your line is open now, sir.
Scott Bardo: So first question, please, relates to the strong performance in your Refractive Laser correction business. And I wonder if you could give us some sense of what your revenue expectation is for that business this year in the context of the €1.6 billion group revenues that you now guide for. I think that one of your competitors in the U.S. is also seeing very strong demand in refractive correction, but somewhat cautioning on the sustainability of these trends suggesting there’s been some pull forward of demand. I wonder if you can give some sense of are you seeing that or are you cautious about that dynamic? Just some sense as market leader for the outlook of the refractive correction market, please? The second question relates to the IOL business. Thank you for showing the market data on volumes, and pleasing to hear that you’ve been relatively stable this quarter. There seems to be quite a lot of new company entrants into this market – or new product entrants from both Johnson & Johnson with the synergy product, the extended depth of focus lens from Alcon Vivity, competition in China with PanOptix. Are you seeing any of this competition? Is this in any way impacting your growth aspirations for intraocular lenses? Last question, please. Clearly, an impressive financial position the company is in, over €800 million in net cash. There is indeed speculation once again that Bausch Health or the previous Bausch plus Lomb business is up for sale with that seller potentially considering selling individual assets, maybe even the surgical business. I wonder if you could comment as to whether this sort of assets is of strategic interest to the group or whether now your organic efforts make this endeavor less worthwhile? Thank you.
Ludwin Monz: Yes. Thank you, Scott, for your three questions. Let me go through them one by one. So I’ll start with the first one on the Refractive performance. It’s really true that the Refractive business is developing nicely. And as you know, Asia is the largest market for refractive surgery followed by the U.S. and then followed by Europe. So that’s about the sequence. And as Asia is not that much impacted by the pandemic, of course, we see an overall positive development here, which is not much impacted by the pandemic. I have to apologize that I cannot give you specifics on revenue here because we cannot break that down, and I really ask you for your understanding. But it’s certainly true that the share of revenue is growing, the business is growing very nicely. And so we are also confident going forward. Regarding sustainability, I would say that we actually believe that this is a sustainable business because the demand in Asia also, to some extent, certainly with a cultural background, so it’s just a procedure which people like to go through. Why should that change? So I wouldn’t see that. What we also see is a shift in – among the refractive procedures that our SMILE procedure is definitely gaining share, and that is true for all markets. So it’s true in Asia, it’s true in America – in North America and the U.S. and it is true in Europe. And again, why should that change. So I would also believe that this shift from LASIK, PRK towards SMILE is sustainable. Having said that, there is one uncertainty here where I cannot predict whether it’s sustainable. As you know, and that’s very much true for the U.S., that refractive procedures are very much dependent on the economy. So whenever the economy is strong, people have high disposable money, the refractive numbers go up. And when the economy cools down, the unemployment rate increases, then the market goes down. And that effect is difficult for me to predict, and you probably have the same insights that I have on the American economic development. So if things slow down there, that front, that might have an impact. Other than that, I would say that the growth that we are also seeing in refractive in the U.S. is definitely sustainable aside from that general economic impact. On your second question, the IOL business. As you said, I mean, our IOL business is really strong. We’ve put a strong focus in the last years on penetrating all market segments. So we are – we have a good presence both in the premium segment but also in the standard segment, and we see both segments growing. It’s definitely true that new companies are entering the market and established companies are introducing new products, but so do we, right? So also going forward, we will continue with our innovation activities. So that we feel that we are also, in terms of competition, in a good situation. It’s certainly true that if you go back 5 or 10 years in the multifocal segment, we were pretty much alone. That’s not the case anymore. But still, our business even in that segment is still growing despite of competition. Yes. Then your last question regarding Bausch Health. At this point, I have to make the same comment as I made before. Of course, I cannot comment on specific targets in M&A. It’s generally known that at least there is some willingness to discuss the disposal of certain assets on Bausch Health. We are looking at everything out there, right? I can only say that. And just as always, it needs to make strategic sense, which means there must be a complementary effect. So if there’s too much overlap, it doesn’t make sense. And also the price we would need to pay needs to make sense for – when we look at what we get in return. So we are analyzing everything and certainly also that opportunity, but we are also looking at other things as always. And yes, should there be news, we will announce, of course.
Operator: The next question is by Falko Friedrichs of Deutsche Bank.
Falko Friedrichs: My first question is on the improvement in your order intake. Would you be able to quantify that for us in a bit more detail, especially on the equipment side of your business? Then my second question is on KINEVO and the other microsurgery equipment that you recently launched. Can you share a bit more detail, especially on the equipment side of your business? Then my second question is on KINEVO and the other microsurgery equipment that you recently launched. Can you share a bit more detail on how the rollout is progressing here and how the feedback is in the market currently? And then, thirdly, on IOLs, could you update us on the time line for the U.S. market launch?
Ludwin Monz: Thank you for your questions. I start with the two product questions. And then in the end, Justus, you can answer on the order intake. So KINEVO rollout and also there’s a second product, TIVATO, this actually is going really well. So we see a very positive reception of the market to these products. TIVATO replaces an old product line and it’s just amazing how well that’s received in the market. So we see a strong increase. As always, when we introduce something new, it takes a while to make that transition. But the product, if you compare the TIVATO with the predecessor product, that’s a big step forward and that’s definitely appreciated by our customers. So we are really optimistic regarding that rollout. And again, that’s just superimposed by the pandemic effect right now but there is no weakness in the products that we launched that we could see. So this is why we are really optimistic going forward and believe that the business will for sure come back. And again, Justus will talk about the order intake in a minute. The order intake in MCS is strong. Yes, regarding the IOL launch in the U.S., there’s not much news, neither positive nor negative news, which means everything goes on as planned. Unfortunately, the uncertainty is also unchanged and the uncertainty is the approval time line. And as you know, that’s not in our hands, it’s with the FDA. So yes, we will see when we will get approval for our products. So still the point in time when we expect to go to market with first product is, let’s say, a transition from this to next fiscal year and that’s unchanged. So nothing new there.
Justus Wehmer: Yes. Falko, just a couple of words on that. So on the device heavy business, so to speak, and I would refer my statement to, of course, Microsurgical business, but also then our diagnostics tools in the OPT division and also the latest for our Refractive Laser franchise. You can roughly say that the order intake growth rates, and I’m not comparing to last year for the obvious reasons, but if we compare them to the year 2019 at this point in the fiscal year, is in the double digits. All – for all businesses that I mentioned, it’s in a double-digit level that if we would now basically try to draw a trend line, then it would clearly indicate what we said previously that we are now back on the typical growth pattern that you have seen for the device businesses at least over the last two years or so. Yes. I hope that clarifies sufficiently your question.
Operator: The next question is by Markus Gola of Stifel.
Markus Gola: My first one is on this global computer chip shortage. How is this currently impacting your business? And based on your current visibility, when do you expect the situation to improve here? And should we expect that order intake and sales might deviate going forward as well due to the situation, particularly in Microsurgery? My second question is a follow-up on the multifocal IOL market. Besides the products mentioned by Scott, it seems that HOYA is now also seeking to sell premium IOLs in China but also in your domestic market, Europe. Could you share your view on the HOYA product specifically compared to your current offering? And would you expect them to be a significant competitor in this segment going forward?
Ludwin Monz: Yes. Thank you for your questions. First one on the electronic shortage. More than chips, it’s actually what we see right now is all kinds of shortage in all kinds of electronics components, interestingly, and I would not have expected that on plastic materials. So for example, cables, insulation materials and things like that. So it’s really amazing what’s going on there. It’s just more than the computer chips, which is currently discussed, for example, in automotive industry. Yes, we do see that. However, until now, we found ways to manage this because typically we do not have custom-made chips. That’s a difference to automotive industry, for example. In automotive, they have their own chips and then the chip manufacturers need to make these specific chips. And we use off-the-shelf components typically, and that’s a difference. And usually, there is a certain stock level of the electronic component traders that can buffer the manufacturing. So yes, we do see these effects. But right now, there is no, fortunately, I have to say, no impact and we sincerely hope that we will somehow get through this. So I can clearly say that this shortage is not the reason why our sales is behind orders. That is more on the customer side. So the question, can we really install the devices, do we get into the customer accounts? But again, knock on wood, that this shortage of electronics will not hit us severely. Yes. Regarding the multifocal lenses, look, there are so many multifocal lenses out. And from bigger companies, from smaller companies and now HOYA is adding another one. HOYA, I would say, traditionally has some strength on the materials side. I have no specifics about this lens you are referring to from HOYA that I could talk about. But again, it’s become a crowded market and what matters is customer access. What matters is a proven track record and clinical data. And as ZEISS has been in the market for so long, there are hundreds, if not thousands, of clinical papers, which prove the performance of our products and this is why I’m confident that we can defend our position, as I said earlier in Scott’s question. We do have a good position here and continue to grow, including China, I have to say. So yes, for the time being, that’s under control. And yes, it’s getting more competitors and everybody is trying to grab a certain share of the market, so HOYA is another one.
Operator: There’s a follow-up by Scott Bardo.
Scott Bardo: Yes. With respect to your upcoming launches in the North American market, can you confirm whether the launch of your monofocal IOL will be coupled with your new phaco launch that they be launched simultaneously? Or is there different steps, launch time frames that you have in mind for those products? And I wonder whether you can highlight a little bit the strategy of market share capture in North America for phaco. Obviously, this has been somewhat of an entrenched market. Have you already lined up lots of key opinion leaders ready to take the solution? Or is this going to be, say, an aggressive selling and marketing effort to make some inroads? Just a little bit of color on how you’re thinking about the go-to-market strategy. Second question, a follow-up, please. It’s just a little bit more clarity on the messaging on next year’s margin or the midterm margin. I think your margin guidance is for above 18% EBIT margin. But you clearly are highlighting that the cost base is somewhat abnormal. Is the message for next year that you would expect margins to decline from this current high 20% level? Or is it that you just don’t expect any incremental operational leverage from these high 20% margin levels?
Ludwin Monz: Justus, maybe you can take the second one. I’ll start with the first one. Yes, Scott, that’s a thin line now what to disclose because it’s obviously highly sensitive to competition what we are planning in North America. But let me maybe comment a little bit on what is publicly known anyway. So first of all, ZEISS will come up with a pretty complete and competitive portfolio and that will include lenses extraction technology, and it will include IOLs. We go step by step, but it’s clearly our goal to, as ZEISS always does, to be competitive and superior in performance. So we are also trying to go new ways. It’s not just a me-too product or me-too products that we are coming up with. We are also trying to differentiate. Now please do not ask how because this is what I’m not going to disclose and that time will tell. Competition certainly would be keen on knowing that. But that’s our strategy. So we really try hard to differentiate. The – whether it will be simultaneous or subsequent in IOLs phaco in the U.S. will depend on the approvals. And again, I simply do not know what FDA has in mind and how time lines will work out in the end. But it would certainly be ideal to have it at the same time. But we’ll see whether that will work out. I really cannot predict, I don’t know. So that’s the idea. So in general terms, the strategy is to really have a strong product portfolio, which is differentiated. And then we definitely work with KOLs all our product developments. And that’s really our philosophy: involve KOLs in the development, right? And it’s exactly the same people that help us later on when it comes to launching the product because they have deep insights. They know the product and can help us then explain its strength and that we will definitely do also here in the market launch in North America. Do not expect a, how should I say, a huge market growth from one day to the other or a huge business growth from one day to the other. It’s going to be a process, yes. So we will launch our products. We will start to convince customers that this is a strong product and it has its advantages over competition. And over time, we will grow market share. It just will take time. We’ve done that many times in other markets, but that’s just the way it will work. And I’m absolutely convinced that it will be the same in the U.S. It’s a matter of time. And – but the market is large. That’s the big advantage. The U.S. IOL or cataract market in general is the biggest in the world and that is why, for ZEISS, this is really an attractive market. I hope that helps, Scott, and then I hand over to Justus.
Justus Wehmer: Thank you, Ludwin. Well, Scott, your question is, of course, a bit tricky because, in essence, you wanted to know whether our midterm guidance of at or above 14%, whether that would finally represent a decline versus the margin that we achieved for this year or whether it would mean that we somehow can keep the level of the margin that we will have achieved by the end of this fiscal year. Of course, since I do not know where we will be at the end of the fiscal year, your question is a bit tough to answer. But a few thoughts on it. I’d clearly say that the margin that we have seen now at the end of H1, that, to me, is from all what I can see on the business not sustainable. And the reasons we have an extremely abnormally high share of our consumables, if we look at the revenue – total revenue structure and that coincides with the also abnormally low OpEx spendings. And of course, all of us seem to believe that in the new normality we will travel less and so on. But let’s be honest here, this, to me, remains still to be proven whether we really globally once traveling – intercontinental traveling and so on is possible again, whether that is really then going to be a sustainable lower level of traveling than what we have seen prior to corona. So going back to your question, so my perspective is in the second half of the year, we will probably see a more normal mix in our sales structure. Higher device portion will put some pressure on the average margin. At the same time, with the OpEx increasing, that should, for the entire year, bring – that is my expectation, bring the current EBIT margin level somewhat further down. And now the question is, of course, to what level? Is it 100 basis points? Is it 150 basis points? That remains to be seen. And only once we see the nature of the revenue and cost structure a bit closer than I think I can give you really a fair answer. But rest assured that we obviously keep our focus on profitability, so that if there was a decline to the year-end margin level in the future that it will be not such a significant one.
Operator: Okay. The next question is by Aliaksandr Halitsa of Hauck & Aufhauser.
Aliaksandr Halitsa: I was wondering if you could maybe expand a little bit on the dynamics around the TIVATO product in terms of – I believe you have mentioned or you touched upon it in previous calls, but an update would be helpful in terms of what’s the sort of revenue base of the predecessor product. And then when you talk about sort of sales of TIVATO, most of those sales go into replacement or is it also sort of expansion of the market? And then maybe in how far are you already in terms of replacement of the installed base? And lastly, on the pricing, what’s the pricing difference on those two products?
Ludwin Monz: Yes. Thanks for your questions regarding the TIVATO. So overall, as I said, the TIVATO is really selling well if we eliminate the COVID-19 effects here. We see that from the rate of replacement, so how much of the predecessor product, the OPMI VARIO, is replaced by the TIVATO and that goes really fast. What determines the speed of that transition is actually not so much the customer, it’s more the regulatory side because the TIVATO first needs the regulatory approval country by country. And specifically in Asian countries, that could take a little bit. But overall, the transition has progressed really far already. And the TIVATO has taken over the revenue of the predecessor already. I ask you for your understanding, we cannot disclose revenue numbers for individual product line. So I cannot give you a number on this. Regarding the question, and that’s a good one, actually, replacement or expansion. So there is a large market for expansion to say that – sorry, for replacement first. Because we have a huge installed base, the OPMI VARIO is really an aged product that has been in the market for very long. So customers see a huge difference. If you put the products next to each other, you will find that the TIVATO is really, in terms of performance, in terms of features, a big, big step forward. And this is why, for customers, that’s very attractive to now make that step and upgrade. And as we really have a huge installed base, I don’t know it by heart, but it’s really large. There’s a big opportunity, and that will last for years, right, until this – the installed base is replaced. That’s not done in a couple of months. This really takes years. Regarding expansion, I would say there’s also some potential for expansion. The TIVATO, in contrast to the KINEVO – no, let’s put it this way. The TIVATO compared to the VARIO has certain features like the fluorescence option, which is for tumor surgery where you can color mark tumor cells. That’s a very important and modern technique in surgery. And we did not have that feature in the predecessor product, but we do have that in the TIVATO. And in the past, that kind of feature was exclusive to the high end, the PENTERO or the KINEVO and now it’s already available in the TIVATO. And that expands the market because we missed that middle of the market where we were not – where we did not have that feature. So I believe that alone will expand the market. Other than that, it will also be expanded in terms of medical specialties. The TIVATO is a very good microscope also for ENT surgery. So I could well imagine that – where we actually have already grown there, but we will continue to grow also in the ENT segment. Pricing, yes, of course, a new product with more features is priced higher. It’s still attractive to customers because you can dial out certain – opt out for certain options. You don’t need to buy this. But what we observed and that has been driving the MCS business really for many, many years, and when I say many, I mean, 20 years or so, customers, they appreciate the new features and performance. So what typically happens is that once they buy a device, they actually also choose to buy the options, which increases the average sales price and typically it’s also good for the margin. And that’s the same here with TIVATO. So I believe very good product, very good development and we are really optimistic going forward.
Aliaksandr Halitsa: Thank you.
Operator: [Operator Instructions] There are no further questions coming in. So I’ll hand back to you for the closing remarks.
Ludwin Monz: Ladies and gentlemen, thank you very much for your interest in Carl Zeiss Meditec. It was really a pleasure of presenting you our latest numbers and also announcing that we see the COVID-19 crisis now mainly behind us and only a good and positive development in front of us. So I’m looking forward to our next call after the third quarter. Stay healthy, and all the best to you. Bye-bye.